Operator: Good morning, ladies and gentlemen, and welcome to Gran Tierra Energy's Conference Call for Third Quarter 2025 Results. My name is Shannon, and I will be your coordinator for today. [Operator Instructions] I would like to remind everyone that this conference call is being webcast and recorded today, Friday, October 31, 2025, at 11:00 a.m. Eastern Time. Today's discussion may include certain forward-looking information, oil and gas information and non-GAAP financial measures. Please refer to the earnings and operational update press release we issued yesterday for important advisories and disclaimers with regard to this information and for reconciliations of any non-GAAP measures discussed on today's call. Finally, this earnings call is the property of Gran Tierra Energy, Inc. Any copying or rebroadcasting of this call is expressly forbidden without the written consent of Gran Tierra Energy. I will now turn the conference call over to Gary Guidry, President and Chief Executive Officer of Gran Tierra. Mr. Guidry, please go ahead.
Gary Guidry: Thank you, Shannon. Good morning, and welcome to Gran Tierra's Third Quarter 2025 Results Conference Call. My name is Gary Guidry, Gran Tierra's President and Chief Executive Officer. And with me today are Ryan Ellson, our Executive Vice President and Chief Financial Officer; and Sebastien Morin, our Chief Operating Officer. On Thursday, October 30, 2025, we issued a press release that included detailed information about our third quarter 2025 results, which is available on our website. Ryan and Sebastien will make a few brief comments, and then we will open the line for questions. I'll now turn the call over to Ryan to discuss our financial results.
Ryan Ellson: Thanks, Gary. Good morning, everyone. First, I would like to highlight an announcement made last week relating to the prepayment agreement we closed, which represents a new prepayment facility backed by our Ecuadorian crude production. The initial advance will be $150 million with the potential for another $50 million once our Ecuador acquisition closes and we reach 10,000 BOE per day in Ecuador. It's a 4-year structure price of SOFR plus 3.8% and includes a 3-month grace period on principal before amortizing evenly over the remaining term. Importantly, the commercial terms or sales price are an improvement to our previous crude oil sales contract. Overall, this agreement strengthens our balance sheet and gives us added financial flexibility at a very competitive cost. In addition, we increased our current facility secured by our Canadian assets to $75 million and equally important, moved from a 1.1 structure to a 2-year structure with maturity in October 2027. Now on to the quarter. During the third quarter of 2025, Gran Tierra averaged 42,685 BOE per day. That's up roughly 30% from a year ago, driven by our Canadian acquisition and continued success from our exploration in Ecuador. Production during the quarter was temporarily impacted by unusual and externally driven events across our operations, including the land slide in Ecuador, which impacted the main export pipelines in the country, requiring us to shut in production and trunk line repairs at the Moqueta field group, which resulted in the field being shut in for the quarter. The pipeline repairs took longer than anticipated due to ongoing heavy rains through July and August. All pipelines are restored as of October 10. We want to emphasize that these volumes represent deferred barrels rather than lost production, and we already are seeing a strong recovery with current production averaging 45,200 barrels of oil equivalent per day. Based on the deferrals, we are forecasting the lower end of our production guidance range. The underlying assets continue to perform well, and our teams remain focused on ongoing optimization and maximizing production efficiency and cash flow with an expected exit rate of 47,000 to 50,000 BOE per day. From a cash perspective, it was a solid quarter where we generated $48 million of operating cash flow, up 39% from Q2. We ended the quarter with $49 million in cash and net debt position of approximately $755 million. In terms of pricing, we saw improving differentials across South America, especially in Ecuador, which helped offset some of the impact from temporary facility downtime and pipeline outages. On the capital side, we invested $57 million that focused mainly on high-return projects in Colombia, Ecuador and Canada. So overall, despite some temporary production headwinds this quarter, we're expecting a strong finish to the year, which sets up for a strong 2026. With production already back above 45,200 barrels a day and the added liquidity from our new prepayment agreement and increase and extension of our Canadian credit facility, we're in a great position to finish 2025. The 2025 capital program was primarily focused on fulfilling exploration commitments, which resulted in numerous material discoveries. We also invested in facility expansion in Suroriente, including gas to power, which provides us with sufficient process capacity to increase production in the field and lower costs. With substantially all commitments behind us, the focus turns to free cash flow and deleveraging from our large diversified resource base. We released our 2026 budget in mid-December, which will include a decrease in capital expenditures and emphasis on free cash flow generation. I'll now turn the call over to Sebastien to discuss some of the highlights of our current operations.
Sebastien Morin: Good morning, everyone, and thank you, Ryan. The third quarter highlighted continued operational strength across our entire portfolio with solid execution in Ecuador, Colombia and Canada despite some temporary external challenges. In Ecuador, we had another strong quarter, achieving record production greater than 5,000 barrels of oil per day in August and greater than 6,000 barrels of oil per day in early October with the delivery of the Conejo A-1 exploration well, which was drilled on budget and successfully tested both the Hollin and Basal Tena sands, flowing over 1,300 barrels a day of 26.9 degree API oil under normal natural flow conditions. We plan to reenter Conejo A-1 later this quarter and install the final completion and selectively test each zone to optimize long-term production. We also recently cased and cemented the Conejo A-2 well, targeting multiple prospective reservoirs, including the Basal Tena and Hollin. The well discovered 41 feet of net reservoir with an average porosity of 14% in the Hollin formation, suggesting a well-connected reservoir with high deliverability potential over the full Conejo structural trap. In addition, we also confirmed a new oil discovery at Chanangue-1, which was a legacy well drilled in 1990 and suspended in 1992 that we reentered to test the bypass Basal Tena interval. It's currently producing 600 barrels a day on jet pumps and has opened up a new follow-up drilling opportunities on the eastern side of the block. With the delivery of the Conejo A-2 well, Gran Tierra has completed all of the exploration commitments in Ecuador, and we are now well positioned to continue to increase production into the development phase and establish [Audio Gap] and help sustain stable field output. At Cohembi, the waterflood continues to deliver excellent results. The production from the northern area has more than doubled, up roughly 135% from 2,800 barrels to 6,700 barrels a day. Total field production recently reached over 9,000 barrels a day, the highest since 2014. We are now executing the final 6-well drilling program to continue to ramp the field production and extend the Cohembi field boundary, including an exploration well to the north as part of the agreed carry program under our contract extension, which we expect to complete by the end of the first half of 2026. In Canada, we drilled and brought 2 additional Lower Montney wells on stream in September, both performing at or above expectations. That brings our 2025 activity at Simonette to 4.0 gross or 2.0 net wells. Stepping back, what really stands out this quarter is the progress we've made in advancing our technical capabilities and field execution from the exploration success we had in Ecuador to optimizing mature waterfloods in Colombia and efficiently scaling our Canadian program. Our focus remains on disciplined execution and continuous improvement to ensure our assets deliver strong value over time. As Ryan summarized, we had several unplanned production deferrals. Although our average production for the year will be at the lower end of our annual guidance, we'll finish the year strong with an expected exit rate between 47,000 and 50,000 barrels of oil per day. I will now turn the call back to the operator, and Gary, Ryan and I will be happy to take questions. Operator, please go ahead.
Operator: [Operator Instructions] Our first question comes from the line of David Round with Stifel.
David Round: First one, just on Suroriente, please. You seem to have seen and experienced a very sudden production response there, I mean, positively. So great to see. Can you just talk about though, please, just sort of what exactly has happened as that program has been going on over the course of this year? What of the new production is due to new wells? What is waterflood? And how sustainable is it, please?
Sebastien Morin: Yes, I'll take that one. So in a phasing approach, really, it was the start of injection on the North pattern, where we're injecting essentially 5,000 barrels of water per day in that North pattern on Cohembi-25. The other catalyst was well upside. So we had a few really key workovers. The one well just south of the pattern in Cohembi 20 was upsized, and that went from 500 barrels a day gross to over 2,000. So that one is included in the North pattern. So now as pressure comes up and we continue to increase our injection, we're seeing some really amazing performance from that sand. Just to recall, those are essentially Darcy sand. So the response is very quick.
David Round: Okay. And then if I think about the production number you've put out there at the moment, I mean, how do we think about that sort of just conceptually going into next year with continual drilling? I mean, is that sort of a base and we should be looking at higher than that?
Sebastien Morin: I think that's extremely fair what you just described. That's exactly where we're going. So with the extra 6 wells that we're putting into the field, we expect to continue to increment that production from here.
Gary Guidry: Production and reserves.
David Round: Okay. Great. And then just the second one, please. Just on the prepayment facility, how does that work in terms of availability once the repayments start?
Ryan Ellson: Yes. It's -- so effectively, you draw the cash at the beginning of the entire amount, the $150 million and then just repay those funds over the course of the 4 years.
David Round: Okay. Over the course of 4 years. And is it fairly linear in terms of how...
Ryan Ellson: It is. It is. So effectively, every time we do a lifting in Ecuador, we'll pay back a portion of the money borrowed.
Operator: Our next question comes from the line of Joseph Schachter with SER.
Josef Schachter: A couple of questions for me. Congratulations on getting Ecuador up to 6,000 in October. You have on Slide 26 of your presentation that the potential could be between 11,000 and 19,000. Does that include the last 2 wells, which have been very encouraging? So guidance potentially would be to the higher end. And the question is what time line were you using to get to that? And do you need to put waterflood in? Do you have enough water? Maybe just give me a guidance of how Ecuador grows.
Gary Guidry: Yes. Joseph, the answer to your question is the guidance on that slide does not include the Conejo discovery to the Northwest. And the guidance is based on waterflood of the Bassal Tena. We're in a very good position here that we have a water source in the stacked pays that we have in the Hollin and the T Sand. And so everything is in place to do that. We're working through the field development plans with the ministry in Ecuador. And now that we fulfilled all of our commitments this year on exploration in Ecuador, we're moving to the development phase. And so that will start occurring next year, during 2026.
Josef Schachter: Okay. The debt issue, it fore seems to be the overhang, the market's reaction today down to a new 52 low disappointingly. Just for the levers, maybe, Ryan, do we need $75, $80 Brent? Do we need Ecuador over 10,000, 11,000 BOE a day? Do we need some noncore sales of your nonoperated assets in Canada? Where do you see getting that debt? Is a debt to 1 target something that will happen before the end of the decade? And how do you see the levers to get there?
Ryan Ellson: Yes. No, that's a great question. And I think one of the things we want to emphasize in the press release and our opening remarks is now with the exploration commitments and a lot of the Suroriente commitments behind us, it really sets us up the stage for generating free cash flow. We're laser-focused on generating free cash flow in 2026 and beyond. I think if you look at this year's capital program, there's about $150 million in there between exploration and facility expansion and gas to power, et cetera. So I think with that behind us, when we come up with our budget in mid-December, you'll see the focus on free cash flow. We'll continue to look at how to optimize the portfolio as far as asset sales and whatnot, but that will just be incremental deleveraging. Our base plan is deleveraging as much as possible through our base operations.
Josef Schachter: Okay. In some of the cases like the drillers, [ Precision and Ensign, they kind of gave targets to the market and to investors, we're going to knock off $100 million, $150 million, and they brag when they get there. Are you guys going to be willing to start throwing numbers like that so that people can see guideposts? And yes, you're heading in the right direction. Therefore, your valuation, which is trading at less than 1x cash flow in Canadian dollars and much below your 1PPD -- 1P reserves that you show in your presentation, the new one at USD 19.51. Is that the kind of thing where we can show the debt holders are now giving the equity value to the shareholders by doing something like that?
Ryan Ellson: Absolutely. When we come out with our budget in '20 -- December, there will be a clear road map.
Operator: Gentlemen, there are no further questions at this time. Please continue.
Gary Guidry: Thank you, Shannon. I'd once again like to thank everyone for joining us today. We look forward to speaking with you next quarter and update you on our ongoing progress. Thank you.
Operator: This concludes today's conference. Thank you for your participation. You may now disconnect.